Operator: Good morning, everyone and welcome to TriState Capital Holdings’ conference call to discuss the financial results for the three months ended June 30, 2015. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. Before turning the call over to management, I would like to remind everyone that today's call may contain forward-looking statements related to TriState Capital that may generally be identified as describing the company's future plans, objectives, or goals. Such forward-looking statements are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For further information about the factors that could affect TriState Capital's future results, please see the company's most recent annual and quarterly reports filed on Forms 10-K and 10-Q. You should keep in mind that any forward-looking statements made by TriState Capital speak only as of the date on which they were made. New risks and uncertainties come up from time-to-time and management cannot predict these events or how they may affect the company. TriState Capital has no duty to and does not intend to update or revise forward-looking statements after the date on which they are made. To the extent non-GAAP financial measures are discussed in this call, comparable GAAP measures and reconciliations can be found in TriState Capital's earnings release, which is available on its website at tristatecapitalbank.com. Representing TriState Capital today is Jim Getz, Chairman, President and Chief Executive Officer. Jim will be joined by Mark Sullivan, Vice Chairman and Chief Financial Officer for the question-and-answer session. At this time, I would like to turn the conference over to Mr. Getz.
Jim Getz: Good morning and thank you for joining us today. We’re proud to report the achievement of the significant milestone at June 30, 2015, with TriState Capital Holdings reaching more than $3 billion in assets. While we've grown dramatically since our de novo formation in 2007, our entrepreneurial culture and laser focus on achieving results for shareholders and our niche market clientele remains unchanged. We’re also very pleased to be able to report record pre-tax earnings and net income to our shareholders, particularly one though, the result of strong contributions by all three of our business lines, private banking, middle-market commercial banking and investment management. Earnings per share grew more than 11% from the linked quarter to $0.20, thanks to continued topline growth, supported by further improvement in the bank's credit quality. Together, our banking and investment management businesses generated $26.2 million in total second quarter revenue, an increase of nearly 3% from the linked quarter and more than 6% from the year-ago period. Non-interest income, including $7.5 million of Chartwell investment management fees represented more than 36% of total Company revenue compared to an average of about 26% for $1 billion to $5 billion asset commercial banks. Net interest income increased to $16.6 million in the second quarter, driven by robust loan growth over the year-ago period. We continue to grow net interest income while maintaining high levels of floating rate loans, at 83%, and what we believe to be one of the most highly asset sensitive balance sheets in banking. Our internal model demonstrates that 100 BP interest rate shock would result in a 5.25% increase in net interest income conservatively assuming a simultaneous rate increase of loans and deposits. Overall, we've expanded both private banking channels and commercial lending, driving 16% growth in total outstandings even as we worked to have $82 million in private equity backed shared national credits eliminated over the past 12 months. Private equity backed shared national credits totaled less than $77 million or 3% of total loans at the end of the second quarter. That's a 52% drop from one-year period, when they totaled $159 million or 7% of total loans. Excluding the $82 million in run-off of private equity shared national credits, commercial and industrial lending would have increased by 3.1% over the last 12 months, this reflects our focus on high-quality strategic commercial and industrial relationships which are mutually beneficial for the bank and our customers over the long run. Together, private banking and commercial lending drove total loan expansion in the quarter that readily supports our goal of achieving long-term compound annual growth rate of 15%. Over the past 12 months, the loan portfolio reflects a substantial amount of activity. Our net loan balances were some $2.2 billion on June 30, 2014. Between 2014 and 2015, we originated some $788 million of loans, we had loan payouts of some $386 million, we had net loan paydowns in lines of credit of some $48 million, providing us at the end of the day with a change in net loan balance of some $354 million. Over the past 12 month period of time, our commercial and industrial loans were down 9%, commercial real estate was up some 28% and private banking some 27%. Our profitable loan growth of 16% year-over-year also continues to meaningfully outpace the industry which experienced median year-over-year loan growth of just 9% as of the end of the first quarter of this year. Our private banking channel loans continue to be sourced primarily from our growing network of financial intermediaries, which now numbers 106 firms nation-wide. These firms give us access to more than 50,000 individual financial advisors. Today, we are doing more than $1 billion in private banking channel lending with fewer than 2% of those financial advisors. We are just scratching the surface of the growth potential within our existing referral network. In terms of asset quality, our strong credit metrics improved even further during the second quarter of 2015. TriState Capital’s non-performing loans continue to improve and remain well below the industry average as a percentage of total loans. Our non-performing loans were 0.98% of loans at June 30 compared with to an average of about 1.5% for $1 billion to $5 billion asset commercial banks. TriState Capital’s non-performing loans declined from $28 million one year ago to $25 million at June 30, 2015. Adverse rated credits declined by more than 30% from $81 million one year ago to $57 million at June 30, 2015. Adverse rated credits represented just 2.2% of total loans at the end of the second quarter, compared to 3.7% one year prior. Provision expense for the second quarter came in at $185,000 or 3 basis points of average loans annualized. Year-to-date provision expense was 9 basis points of average loans annualized. The trend of our recent provision expense reflects the change in the complexion of our loan portfolio over the past 24 months, which is a much higher percentage of the portfolio in loans secured by marketable securities. We anticipate that this trend will continue. Moving on to funding, TriState Capital Bank increased deposit balances by nearly 15% to $2.6 billion at June 30, 2015 compared to one year prior. Time deposits represent 34% of total deposits. During the second quarter, we extended the term of time deposits in anticipation of the rising rate environment, moving average durations to their highest level since 2012. The duration for all fixed rate deposits was 306 days at the end of the second quarter compared to 186 at the end of the last year and 218 days on June 30, 2014. Time deposits with maturities of 12 months or more increased to 28% of total time deposits from just 14% six months ago. Our average cost of deposits increased 2 basis points to 0.51% in the second quarter of 2015 from 0.49% in the same period last year. Our dedicated deposit gathering team and experienced staff continue to be keys to securing stable, low all-in cost deposits to fund loan growth. Turning to Chartwell Investment Partners, this business continues to perform in line with, if not ahead of our expectations. Over the last 12 months, it generated more than $30 million in investment management fees, including $7.5 million recorded in the second quarter of 2015 at a weighted average fee rate of 37 basis points. Investment management fees alone represented 29% of total revenues in the second quarter, while Chartwell segment net income accounted for 18% of total company earnings in the second quarter. The Chartwell’s assets under management at $8.1 billion, second quarter assets under management reflect the continued success of our business development efforts with new and existing accounts, offset by market depreciation, particularly among US small cap stocks. At the same time, our boutique asset management business continues to perform very well against its benchmarks. As of June 30, three of Chartwell’s 12 investment disciplines beat their benchmarks on one year performance, six beat their benchmarks on three year performance and 10 matched to beat their benchmarks on five year performance. Investment management and private banking continue as the addition of our earnings growth for this company. Again, combining that represent approximately 50% of total revenues in the second quarter of 2015. Before moving on to questions and answers, I would like to touch on the company’s very strong capital position. The company is now self-generating sufficient capital to fund loan growth and further enhance a well-capitalized regulatory ratios. Our primary method for creating long-term value for our shareholders remains the execution of our growth strategy for the bank and Chartwell. In order to drive continued earnings growth, at the same time our Board has the full range of capital use options on the table, which is an enviable position to be in. Since we launched this company, we have demonstrated our commitment to efficiently and effectively deploy capital. You can expect that commitment to continue. Operator, that concludes my prepared remarks. So I’ll now ask Mark Sullivan, our Vice Chairman and CFO to join me for questions and answers. Operator, please open the lines.
Operator: Thank you. [Operator Instructions] Our first question comes from Matt Olney of Stephens. Please go ahead.
Matt Olney: Hi, thanks, good morning, guys.
Jim Getz: Good morning, Matt.
Matt Olney: Jim, can you just confirm that the 2Q results do include the Shared National Credit exam that was completed in the industry a few months ago?
Jim Getz: It does, Matt.
Matt Olney: Any general commentary that you can make about the exam process as it relates to the bank?
Jim Getz: Yes, we can indicate to you that we really had to make no adjustments to any type of rates internally. So we were right on target with the regulators.
Matt Olney: Okay. And then as far as the trend of the loan loss provisions over the last few quarters, can you give us some more detail on your reserve methodology and specifically, what are you providing for the private bank loans that have been most of the loan growth over the last year?
Jim Getz: I would make a general comment, and then I’m going to turn it over to Mark. I think what you have to take in mind is, as I said in my comments, the complexion of this loan portfolio has dramatically changed over the past years and as you can see, about 43% of the portfolio now is of the private banking nature. We intend to see that continue to grow closer to 50%, so you’re going to continue to see some improvement just because of the nature of the underlying portfolio. But, I’ll turn it over to Mark for a more detailed comment.
Mark Sullivan: Matt, good morning. Couple of things in provision expense worth noting and that is our range from prior five years, 2010 to 2014 was 40 basis points to 53 basis points of average loans. Now, when you look at the trailing 12 months is 7 basis points. So I am going to say, yes, the 7 bps is the new normal, but I think somewhere in the mid-range between these two is probably a reasonable expectation for us going forward. As far as our allowance and provisioning, there is really no change in methodology, but what happens, you’ll see on our allowance went from 86 basis points to 84 basis points of average loans and the driver there has its continued decreases. That’s the sort of a composite and maybe a little over 200 basis points on C&I, around 70 range on CRE and 20 is on private banking. And again, we use a 36 month look back period and historical analysis there, and that’s what drives us. Now private banking, you know, would never have a loss, so mathematically it would be a zero, but we agree that the external auditors and regulators said 20 basis points is appropriate.
Matt Olney: Okay, that’s helpful. And then as far as the growth in the private banking segment I believe was up about 19% annualized this quarter. It’s a modest slowdown from previous quarters. I think Jim, your target on that number has been 40%, 50%, what’s the outlook for that growth in that private banking segment?
Jim Getz: I think that’s a fair question. I rather look it at from an annual standpoint and a quarter, but what I will indicate you is that I stick by what I indicated to you. We’re pretty close to this particular -- particular market and we feel very confident in its performance in the next six months.
Matt Olney: And at this point, would you say loan purchases within that segment are still on the table for 2015?
Jim Getz: I would say that -- that’s a possibility, strong possibility, but it’s probably not going to be of the same level that you saw with the purchase the other year. And it’s essentially, keep in mind, it’s where the intermediary wants to just deal with one institution and they usually have multiple institutions that they’ve been dealing with. It’s centralized and we communicate with the client of the intermediary and the loan has moved over. So, it does take -- these conversions take some time.
Matt Olney: All right. Last question for me, I’ll let somebody else hop on, as far as the excess capital, is it stock repurchase plan still on the table here and I didn’t see -- it didn’t look like it was active in the quarter, was it active and what’s the outlook for the repurchase plan?
Jim Getz: We completed the program in the quarter. There was only a small amount that had to be done to complete it. If you remember, it was a million shares allocated. So, we completed it in the early part of the quarter and our average price that we bought the shares at over the period of time was $9.90. And we -- from the use of capital and we may have indicated this before, what our intentions are is to utilize the capital to continue to enhance the growth of the asset management arm. So, we’re very active in looking at potential acquisitions with reference to asset management. We’ve been in the marketplace and anticipate continuing to look at it to complement Chartwell, we’re looking at the international segment, we’re looking at additional taxable bonds, tax-free and companies that are concentration in the large-cap sector have concentrated portfolios because we feel that many people in the large-cap usually go to ETFs and index funds. So, we want little bit of a difference. So, we’re actively talking with people but it takes a while, we want to find the right company, the right connection, the plan is that it would be under the monocle of Chartwell and leadership with Tim Riddle, who is our Chief Executive Officer there at Chartwell. Now, other users for continuing to grow the franchise and also, we will continue to look at further stock buyback programs in the future as we’ve exhausted the program that we put in place a few months ago.
Operator: The next question comes from Michael Perito of KBW. Please go ahead.
Michael Perito: Hey, good morning everybody.
Jim Getz: Hey, Mike.
Michael Perito: So, I guess follow-up on the capital question. You guys have spoken about how the private banking incremental growth is going to benefit regulatory capital ratios, but I guess, if we bring it back to the TCE ratio, I guess, how comfortable -- I guess where are you guys comfortable bringing that down to over the next couple of years as you can see them grow at this 15% or so rate just in general?
Mark Sullivan: Yeah, Mike, I wouldn’t envision that going below 8% or significantly below. We’ve started to have that 8% to 10% target range and I don’t see it going much below 8%.
Michael Perito: Okay. All right, thank you. And I was wondered if you could add some color, you know, the positive growth were strong in the quarter but just -- not just the quarter overall, the concentrations in your deposit, especially your commercial deposits and maybe a little more color on your expectations if we do see a rate rise this fall or earlier this winter, what you guys are expecting on that side of the balance sheet?
Jim Getz: Yes. We have, Mike, a fairly diversified client base on the deposit end of it and if you recall, we've recently put in place a dedicated group that is focusing nationally on identifying potential depositors that have seven figure or capable of seven figure deposit fees or large corporations, endowments, foundations, colleges, parties who are on that particular line, but to give you an idea of what's driving our deposit base here, we’re currently doing business with about 1600 credit unions throughout the United States that buy our CDs at $250,000 or less. We have a couple of hundred municipalities that we’re doing exactly the same thing with. We have about $850 million of deposits from large family offices, about 26 of them that we’re providing deposit and credit services and then obviously we have deposits with our commercial clients in that regard and we have -- we actually have a back money market deposit account that -- we have about $130 million and that we provide to a lot of the regional banks here in Pennsylvania and Ohio. So we feel pretty comfortable with that and as I noted in my comments that we have about 34% of the deposits and CDs and a lot of that activity we’ve focused on delivering during the past quarter.
Michael Perito: Okay. And it's a strategy, especially as you look at some of these endowments and the seven figure deposits you guys are bringing in and also the municipality deposits, do you guys expect to be relatively aggressive on pricing, defending these relationships as rates rise or I guess what's your sense on how you’re going to have to approach that?
Jim Getz: I think you have to understand where this money is coming from and then you’ll understand why I'm saying what I’m indicating. The overwhelming majority of this money has come from institutional money market funds and institutional money market funds are providing now around 10 basis points or in some cases less. We’re providing 40 basis points today, so we don't -- and when these institutional money market funds, when rates begin to go up, the rates obviously will go up, but most of the companies, the major companies, whether it’s a Fidelity, it’s a Federated, the major companies in this market have been, as you’re probably well aware, aggressively -- very aggressively waving their fees. And so if there is a 25% increase in rates, I fully expect 15 of it will go to the house and the 10 will go to the investors. So I think, we have a little bit of legroom here.
Michael Perito: Okay. And do you expect -- I guess the competition for these types of deposits, it sounds like from a pricing perspective, it’s more so towards what these money market funds do, but are you seeing other banks try and go after these deposits or how does it compare I guess relative to, I’m sure, like commercial deposit competition is still pretty high.
Jim Getz: The type of audience that we’ve targeted, it really isn't – now, to be quite honest with you, our 40 basis points is higher than a lot of the other banks, okay. And keep in mind also the other banks haven't had the loan demand that we have had and you noticed on some of the releases I've seen over the past couple of days, a lot of the banks are really even more flushed after this quarter with cash than they were before. A few of them are.
Michael Perito: Okay. Great.
Jim Getz: So we have a very targeted audience we’re going after and a lot of the larger banks aren't accepting those deposits any more.
Michael Perito: Okay. Thanks, gentlemen. I appreciate all that color.
Jim Getz: Thanks.
Operator: The next question is from John Moran of Macquarie. Please go ahead.
John Moran: Hey, good morning.
Jim Getz: Good morning, John.
John Moran: Just a couple of follow-up questions on the PB business. Jim, maybe could you help us size the opportunity on better penetration? It sounds like 2% today doing over a billion, where do you think you can get that penetration to just in the existing sort of referral network, maybe over the next 12 to 18 months?
Jim Getz: Yeah. Before when we have been talking with you, we’ve really put a greater emphasis and we mentioned the 106 intermediaries we have now on adding intermediaries and it really takes us about two years to get momentum going with these intermediaries. As you have seen like this business has really grown handily as you folks have followed us over the past 24 months. So we’ve put on some very large franchises in the past six, nine months and it will take a little while and some of them aren’t even at 2% as of yet. Now, to you give you a perspective, we are putting a lot more emphasis on market penetration of the intermediaries that we have in place today than adding additional intermediaries. You are going to see our intermediaries continue to go up, but it will go up at a lower pace, because we have some folks with fairly substantial franchises. So we are taking steps to get that penetration and we feel we have pretty well captured a lot of these folks that we have been doing business with now for the past 36 months and we are really honing in on the people. And some of those folks we have as much as 25% market share, but I think from a practical standpoint, it would probably be about an 8% to 10% market share that we’d be looking at getting which I think is a pretty reachable and understandable number. And the way we are going about it is, we are peering [ph] at all the major conferences, we have our staff in place, we bring the whole team to the larger meetings, we have our private bankers that are in the field. They are not all here in Pittsburgh. They are actively calling from a marketing standpoint. We’ve relieved them of a lot of the administration of the loans and put a middle office complex in place here. We have added handily to our – we talked to you several months ago about internal sales. We now have five full-time people working in our internal sales department. I suspect that that will grow pretty handily over the next year, I could see as with maybe 10 people there. It could actively be calling on these folks and bring our product to their attention. Those folks are also supporting Chartwell in the retail ventures that we have going on there at Chartwell. So we are very optimistic that we can get to around the 10% market share with each of these clients and we have actual track records with several of them in that regard, that we have been past the 10% ratio.
John Moran: Got it. So that’s basically, you could growth this business, I guess what you are implying is up to 4x to 5x without a ton of additional adds, it sounds like you would probably do some more in middle office and then some more internal sales, but that would be growing along with revenue.
Jim Getz: Not a lot of cost like the private banker we may have spoken up before as a base salary that’s around 100,000, 150,000, 160,000 and everything else is incentive. But we are talking about the internal sales people that are at a much lower cost to the institution. So I would suggest to you that the expense of infrastructure is in place. Now, we are enhancing systems and things along that line, the power system that we have that in fact monitors this collateral and interfaces with the broker/dealer system and the trust system has already been enhanced twice and I believe we will probably be looking over the next 12, 14 months at a third enhancement to that. So there will be some money there, but we are talking about hundreds of thousands of dollars and not millions of dollars here.
John Moran: Got it. That’s helpful. And then just another follow-up real quick on the PB side of things. Were there – I think last quarter was some 700 that were near zero risk weighting and 200 or so that were still a 100% that you felt like you get on Paris over some period of time and get some additional capital relief, is there an update on that and progress that you made there?
Jim Getz: Remember this is all based on conversation and so we have to interface with the IT folks at the other firms that takes some time, so we have not in the past quarter released any capital but we anticipate in the coming quarter having some potential conversations occurring, so you might -- may see some capital release at that point. Between now and year-end, you'll see some additional capital release but we're not talking anything like what you saw the last time, it will be more in the range of $10 million, $12 million over the next six months eventually.
John Moran: Got it. And then, just want to circle back on the PE SNCs, it sounds like they were down $25 million round numbers linked quarter, the plan is still to exit all that by year end, is that correct?
Jim Getz: I'd like to say that we could exit all at year end, I think I may have thrown out a number in the range of about $50 million at the end of the year, I think that's a practical number, it could be a lot lower than that, we’ve been able, if you remember, you go back to January 2014, we had $225 million, okay, we now have $77 million in place and I believe you're going to see that dropping pretty handily over the next few months, we'll be out it totally and we've gotten out of this without taking any losses whatsoever.
John Moran: Great, thanks very much guys.
Jim Getz: Thank you.
Operator: The next question comes from Bryce Rowe of Robert W Baird, please go ahead.
Bryce Rowe: Thanks, good morning Jim and Mark.
Jim Getz: Good morning.
Mark Sullivan: Good morning Bryce.
Bryce Rowe: I was actually just going to ask the question that the last caller did, so I'm good, thank you.
Jim Getz: All right, very good to hear from you.
Operator: And we have a follow-up from John Moran, please go ahead.
John Moran: Hey guys, I'm sorry, I forgot one, sorry if I missed it in the prepared remarks but do you have the new yields, the new money yields on PB, CRE and C&I?
Jim Getz: Yeah, if you look at the total loan portfolio including the loan fees that we get in conjunction with the commercial, it's 3.03%, okay for the entire portolio, if you take a look at the private banking loans they're averaging 2.39%. The commercial real estate loan is around 3.5% and the C&I loans are averaging about 3.71%.
John Moran: Okay, and then, where they're coming on at today, is it pretty similar?
Jim Getz: No. What you're seeing today is the commercial loans are coming on anywhere and by commercial I mean the C&I loans are coming on anywhere from two and three quarters to one and three quarters, the commercial real estate is coming on anywhere between two and three, and the private banking has really stayed relatively stable between two and two and a quarter.
John Moran: Perfect, thank you very much guys.
Operator: This concludes our question-and-answer session, I would like to turn the conference back over to Mr. Getz for closing remarks.
Jim Getz: We appreciate your continued commitment to our Company, to our stock and look forward to working with you in the future. Have a great day, thank you.
Operator: The conference has now concluded, thank you for attending today's presentation, you may now disconnect.